Operator: Welcome to the third quarter 2009 Universal Forest Products Incorporated earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Miss Lynn Afendoulis, Director of Corporate Communications.
Lynn Afendoulis: Good morning and welcome to Universal Forest Products third quarter 2009 conference call. On the call today are Chief Executive Officer Michael Glenn and Chief Financial Officer Michael Cole. Please be aware that any statements included on this call that are not historical are forward looking statements within the meaning of Section 21-E of the Securities and Exchange Act of 1934 as amended. Such forward-looking statements are based on the beliefs of the company’s management as well as on assumptions made by and information currently available to the company at the time such statements were made. The company does not undertake to update forward-looking statements to reflect past circumstances, assumptions or events that occur after the date the forward-looking statements are made. Actual results could differ materially from those included in forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainties. Among the factors that could cause actual results to differ materially are the following: adverse lumber market trends, competitive activity, negative economic trends, government regulations and weather. These risk factors and additional information are included in the company’s reports on Forms 10-K and 10-Q on file with the Securities and Exchange Commission. This call is the property of Universal Forest Products. Any re-distribution, re-transmission or re-broadcast of this call in any form without the express written consent of Universal is strictly prohibited. At this time, I would like to turn the call over to Mike Glenn.
Mike Glenn: Good morning everyone and thanks for joining us today. You know there’s nothing really sexy about our results and our work in the third quarter. We focused on blocking and tackling and the strategies that we’ve laid out over the past few years and it’s working. We’ve reduced our overhead cost by making sure that we’re size right for our business opportunities. We continue to focus on the basics like managing our working capital, eliminating waste and becoming more efficient. We continue to look at opportunities for growth and our finance team has done a terrific job in maintaining a strong balance sheet and cash flow. We’re cautious about the coming quarters which are typically our most difficult and about 2010 which will be as least as challenging as 2009. But make no mistake about it; we’re optimistic about our future. We’re a strong, lean company that has the capacity to drive and accept the challenges and opportunities and to grow. We see a great future for our company after the tough months and quarters ahead. Before I talk about our business and future, I’ll ask Mike Cole to take us through the financials.
Michael Cole: I’ll get things started by reviewing our income statement for the quarter. Our total net sales for the quarter decreased by 25%. We estimate this was comprised on an 18% decrease in unit sales and a 7% decline in overall selling prices due to the lumber market. As a frame of reference, commodity lumber prices during the period were approximately 13% lower than prices in 2008. Reviewing by market, our sales to the DYI market decreased 15% compared to last year, primarily due to a 9% decline in unit sales this quarter. Unit sales were off due to declines in housing starts and consumer spending offset somewhat by market share gains we achieved with big box customers. Our sales to the manufactured housing market decreased 37% primarily due to an estimated 32% decrease in unit sales this quarter. Unit sales were off entirely due to declines in HUD code modular production. Our sales to the construction market decreased 43% primarily due to an estimated 37% decrease in unit sales. Unit sales were impacted by housing starts which were off approximately 36% from June through August and decisions to stop selling lumber packs in some regions when margins are so low. The business doesn’t make sense. Geographically, it’s noteworthy that we experienced a significant decline in unit sales in the Northeast with the drop in the multi-family market which had been relatively good through the third quarter of 2008. Finally, our sales to the industrial market decreased by 20% for the quarter primarily due to a 12% decline in unit sales. Unit sales continue to be negatively impacted by decreased demand due to economic conditions but we believe we have gained market share due in part to adding new customers, expanding our product offering and increasing our penetration into the current pre-forming market. Moving down the income statement, we’re pleased to report our third quarter gross margin increased to 15.1% from 10.6% last year, and our gross profit dollars increased $4.6 million or 7% in spite of an 18% decline in unit sales. Our improved profitability was primarily due to the lower level of the lumber market, lower material cost as a result of better buying and inventory management to protect an improved margin, improved labor and overhead costs from plant consolidations and right sizing efforts and lower fuel costs. Selling, general and administrative expenses decreased by $6.8 million or 12% for the quarter which was comprised of a $4.1 million reduction in SG&A for operations we previously closed and a decrease in the SG&A of existing locations totaling $2.7 million. The decrease from existing locations was primarily due to lower compensation related expenses tied to a decline in head count and smaller decreases in several controllable expense categories. These decreases were offset somewhat by an increase in accrued bonus expense. If you set aside the increase in accrued bonus expense, our SG&A costs were about 18% lower than last year which was similar to our decrease in unit sales. We felt like we did a good job of scaling down our expenses in line with unit volume. SG&A increased as a percent of sales due to a combination of the lower lumber market and an increase in bonus expense. Our net interest cost decreased by about $1.7 million due to our reduction in debt and termination of our receivables program and a decline in short term rates. Moving on to our cash flow statement, our cash flow from operations was $112 million this year compared to $33 million last year. Also I think it’s important to note that our operating cash flow number in 2008 included $27 million of negative cash flow related to the sale of the receivables program that we terminated in September of ’08. Our operating cash flow in 2009 includes net earnings of $25 million, $31 million in non cash expenses and a $56 million decrease in working capital. Working capital declined primarily due to reductions in inventory as we closed out our primary selling season, the impact of lower lumber market on our inventory levels, a slight increase in accounts payable due to higher purchases and volume this time of the year versus December, and an increase in accrued bonus and income taxes due to higher profitability. These reductions were offset by an increase in accounts receivable due to higher sales volumes at this time of the year versus December. Capital expenditures totaled $9.5 million in the first nine months. This is a result of efforts to curtail our spend. We currently plan to spend $15 million for the year. We sold certain real estate for approximately $10 million during the first six months of the year and recognized the related gains in the income statement. We didn’t have any property sales in the third quarter. The remaining real estate that’s classified as held for sale has a net book value of $3 million. Finally, our cash flow from financing activities was $47 million as we terminated $15 million in senior notes in the second quarter and paid off the remaining balance of our revolving credit facility which was a little over $30 million at the end of the year. Our interest bearing debt has decreased to $56 million and our cash balances have grown to $80 million at the end of September. That completes my comments.
Mike Glenn: Mike and his team demonstrate the strength of our focus these days on managing forward, and focusing on the things that we can control. One thing we can’t control is the lumber market. I’ve been in the business for over three decades and the lumber market is at the lowest level I’ve seen. Production in the mills is off 40% from the highs of 2007 and the composite lumber price at the start of the quarter was already low at $245.00 a thousand and finished even lower at $244.00 a thousand, and that affected our selling prices. We’re concerned about the curtailed production at the mills because we believe that when there’s a spike in demand, we don’t believe the mills will be ready for it. But fortunately, our purchasing power and our leverage from our vendor mills should continue to serve us well. But we can’t do anything about lumber prices. We can’t do anything about consumer confidence which remains low or about the abundance of housing still on the market. But we can do things that affect our costs and our efficiencies and our opportunities for sales and we’re working harder and harder every day to impact the things that we can to earn a dollar on every sale and we’re in the process of becoming a stronger and leaner company. With our focus on continuous improvement, our plants are as efficient as they’ve ever been and I know that we’ll be even more efficient tomorrow. We’re finding new opportunities for growth in our markets with new customers, new products and by serving existing customers with more. And we’re thinking outside the box. We have a business model that makes room for innovation and a culture that encourages it. So when you look at interesting opportunities every day, like the new radiant barrier that we’ve added to our product mix. It can be used by builders and be sold by retailers as an after market product. It’s an Energy Star product and is a brand new product to Universal and one that we’re very excited about. Another interesting new venture is our laminating capacity that’s adding new products for manufactured housing and is allowing us to offer more products to existing customers. Then there’s the patented wet curing blanket; Universal has an exclusive agreement on to sell to the concrete construction companies. It’s different from other blankets used in the concrete business and it’s bringing new sales and a new attention to Universal. In our industrial market we used to sell basic crates and boxes, but not anymore. Today we provide concrete forms for the tallest building in Austin, Texas and for the world’s largest gas turbine manufacturing plant, and that’s because we have the best and most driven sales force in the business. In addition to design and production crews, they jump through hoops to meet the consumers’ unique needs. Single family housing isn’t going anywhere for awhile, so we’re focusing on other opportunities like some government projects and small commercial construction. These are areas that we’ve had small exposure to in the past. We’re selling more to our retail customers and focusing on initiatives that will allow us to help the big box customers make sure they have the right products in the right markets at the right times. It increases our service and our value to these customers and helps us become a better company and vendor. We’re adding new products to help retailers meet customer demands for products to use at outdoor living and garden spaces. We’re supplying everything from plastic lattice to composite decking, to jade stepping stones. As we grow our product lines, we’re growing our company. We recently announced the re-opening of our plant in White Pigeon, Michigan as an assembly plant for a new vinyl fencing product that we’re importing from Canada. It’s great to do what we’re in business for; to grow, to open plants, to provide opportunity for people in communities across the country and to grow our value to our customers and shareholders. We continue to find opportunities for growth despite the depressed economy. In fact, we’re growing share in each of our market segments, but we’re not taking on business that is not profitable or doesn’t spell opportunity. We’re focused on profitable, sustainable growth and we’re making decisions based on that focus. Once the economy turns around, we’ll be ready for more vigorous business and expansion. We have a solid foundation. We’re focused on the business basics that will help us make sure we’re doing our best, and we’re committed to sustained growth through a prudent, far sighted decision making. We’re the hardest working people in the industry, and we’re ready to take on more; much, much more. We’re realistic about 2010. It’s going to be as tough as 2009. But we’re also optimistic and demonstrating day to day that we will succeed. That does it for me and we’ll be happy to take any questions that you may have at this time.
Operator: (Operator Instructions) Your first question comes from Will Green for Trey Grooms – Stephens Inc.
Will Green for Trey Grooms – Stephens Inc.: I wanted to try to get a sense for where head count stood right now and what kind of unit sales level that would support, and as volumes start to recover, how long will it take before you really need to begin rehiring.
Mike Glenn: Head count is now below 5,000 to answer the first part of your question.
Will Green for Trey Grooms – Stephens Inc.: So as you look out to recovery, what kind of sales level would that support if you saw 5% increase in demand next year or 10%, what kind of level would you really need to start hiring again.
Mike Glenn: I think we could easily handle a 5% or 10% increase in sales without having to have much head count. We believe that this continuous improvement initiative has really helped us increase our productivity and allow for expansion without having to hire a lot of new heads at this time.
Will Green for Trey Grooms – Stephens Inc.: I don’t know if you can walk me through where plant utilization stands on an overall basis. I know it’s going to vary from segment to segment, but can you walk me through about where that is and where it compares to a year ago?
Michael Cole: I can try that one at a real global level. I think if you look at the beginning of the downturn our sales were $2.6 billion or so. We added acquisitions that probably brought our capacity up to $3 billion and if you look at our current run rate for sales, we’re in the neighborhood of $1.7 billion. So we feel like we have the capacity with the plants we have today to get back to the $3 billion in sales and we’re currently running at a run rate of almost $1.7 billion.
Will Green for Trey Grooms – Stephens Inc.: What’s the area focus for uses of cash at this point? Do you have an M&A pipeline at all? Where are your thoughts there?
Mike Glenn: We’re looking at our policy. We’ll be active in sharing purchases. We do have plans for increasing our expansion. We had curtailed capital expenditures pretty severely during the down turn but we’re looking at increasing that and putting several million into expansionary CapEx for next year, and we certainly have many M&A objectives as part of our 2012 strategy so we’re looking at all those things.
Will Green for Trey Grooms – Stephens Inc.: When you think about a normalized housing market from here, I know it’s kind of tough given what we’ve seen over the past decade, but what do you think that looks like and when do you think we get back to that normalized level?
Mike Glenn: I’m assuming when you say normalized you’re thinking somewhere in the number of 1,700 to 1,800 units and we’re looking at next year to be somewhere in the 600, slow, sustainable growth. We don’t see much happening in the housing for probably 24 to 36 months.
Operator: Your next question comes from Robert Kelly – Sidoti & Co.
Robert Kelly – Sidoti & Co.: You had made the point that X the bonus accruals; SG&A was down 18% year on year. In the past you talked about it being difficult to get below $50 million quarterly run rate in 1Q and 4Q. Has that changed at all? Can you get significantly below $50 million in the low demand quarters?
Michael Cole: I think the bonus accrual does have affect on those quarters, but I think it is a little more realistic now that we can get down below there.
Robert Kelly – Sidoti & Co.: You talked about having capacity of $3 billion and it’s done a lot of good as far as your right sizing actions and what not. Say you were to get back to $3 billion, and not putting a time table on it, how much of the changes you’ve made over the past 12 to 18 months have structurally improved the margins compared to where you’ve been historically. Operating margins have been around 3% to 4.5%. Have you raised that to 5%, 6%? How do you think about that if you get back to $3 billion?
Mike Glenn: I guess I’d just point to the goals that we have as part of our 2012 strategy. We wanted to get to a 300 basis point improvement in our operating margin by that time and we feel like we can achieve that through cost reductions and through the efficiencies we gained through internal improvement.
Robert Kelly – Sidoti & Co.: And the starting point for that goal?
Mike Glenn: It was 2008, but we were little under a point, 1% in operating margin at that time, so we wanted to take it up to 4%. And we were going to achieve it through cost reductions and efficiencies.
Robert Kelly – Sidoti & Co.: In past quarters you’ve given us the bridge to the gross margin improvement, productivity, cost cuts and raw materials. Can you give that?
Mike Glenn: You want a little more color on the increase from last year. I think first off, I’d say this 450 basis point increase from last year, I think the first part of it is about a 50 basis point increase just because of the level of the lumber market being lower. Then there’s about a 240 basis point increase material cost being better this year than last year as a percent of sales. Then you have about 100 basis point increase to get the labor and overhead and efficiencies from right sizing and consolidations, and then lastly the balance is fuel.
Operator: Your next question comes from Keith Johnson – Morgan, Keegan & Company.
Keith Johnson – Morgan, Keegan & Company: On that bridge year over year, did I hear you say correctly 240 basis points increase due to lower material as a percentage of revenue?
Mike Glenn: That’s correct.
Keith Johnson – Morgan, Keegan & Company: What’s driving that and is that something that we could look at and given the volatility of the lumber market can show sometimes, how should we look at that going forward on that 240 basis point portion?
Michael Cole: It’s several things. One of the things is doing a better job of position buys this year and to protect margins. So we’re more conscious of that. We probably suffered a little bit on our inventory turnover but it was well worth it on the margin side.
Mike Glenn: The other part of that is we chatted on last quarter is our ability for cuts in yields and how we look at the market where we can take a 2 X 8 and make it into a 2 X 6. So that plays a big part. That certainly in our view gives us a very strong competitive advantage over our competitors.
Keith Johnson – Morgan, Keegan & Company: Then that cuts and yields portion of that, that kind of comes in and out of the lumber markets over periods of time or is that something because of your strategic advantage and size in the business that you can generally access on a regular basis?
Mike Glenn: It’s a moving cut and yield. It’s not always the same. So sometimes we may be taking 2 X 10’s and making 2 X 6’s. We may be taking 2 X 6’s and making 2 X 3’s, may take out a long length and take it into a shorter length and using the block for something else. It’s a moving target and its something that our folks are very; very good at and very in tune that very few people understand and can do.
Keith Johnson – Morgan, Keegan & Company: What about weather during the quarter, at least the month of September. The Southeast was very wet. Was that a factor in any of the markets you serve and affected the volume trends we’re seeing?
Mike Glenn: Sure was. When you get these downpours that you have in the Southeast right now, it certainly affects our business but it’s kind of what we tell our folks. Don’t call us and give us a weather report. Just work your way through it and it’s just a part of business.
Keith Johnson – Morgan, Keegan & Company: Do-it-yourself, if I look at the volume trends coming through this year, it was down 9% in third quarter so it was a little bit worse than the down 7% in the second quarter. In that specific market are there changes you’re making in the way you’re going to market or is it that the consumer is facing continual headwinds and are pulling further away from that market than maybe they have over the last two years?
Mike Glenn: I think you kind of hit it. I think that there’s been some pretty strong headwinds out there and typically in the tail end of the third quarter and the September market, September time, we see a real drop off in business because people are finishing up vacations, kids are going back to school and they become a little more cautious, and we dealt with some of that. And then typically October picks up a little bit and then we deal with November and December, and that’s really kind of driven a little bit by weather.
Keith Johnson – Morgan, Keegan & Company: On the response to use of cash flow question a little bit earlier, you talked about maybe expansionary capital that could be employed in the plants. Is there any color you could give us on CapEx levels for 2010?
Michael Cole: I think it will probably be close to the level of depreciation, so we’re at $32 million or so on depreciation. I’d expect maintenance to be in the $20 million to $22 million range and expansionary could be $10 million or so.
Operator: Your next question comes from James McCanless – FTN Equity Capital Markets.
James McCanless – FTN Equity Capital Markets: I wanted to follow on with the previous question about the big boxes and some of the lumber yards you sell to. You said that you’ve taken more share at the big boxes and I wanted to know, are the products you’re selling them more DIY focused as opposed to do it for me type products and what if any effect is that going to have on profitability and unit growth going forward?
Mike Glenn: It’s some of what we talked about in the opening comments; the radiant barrier, that’s something different than we’ve done in the past. It’s a non lumber commodity product that we think has tremendous potential and certainly it brings a different margin for us than commodity lumber. We’re focused more on driving a higher value product to the do-it-yourself market than we have in the past.
James McCanless – FTN Equity Capital Markets: I was interested in your comment; you said you stopped selling lumber packs in certain geographies. Could you talk about which geographies you’re not selling those in any more?
Michael Cole: Texas is one where we’re selling less lumber packs now than we were before.
James McCanless – FTN Equity Capital Markets: Any others that stand out, or is it just mostly Texas?
Michael Cole: It’s hit and miss in different spots.
James McCanless – FTN Equity Capital Markets: Sticking with the site builders, there seems to be this back and forth about whether or not the first tax credit is going to get extended or if they’re going to expand the tax credit. Have the site builders indicated to you that they might ramp up spec production or starts etc. if either the credit gets extended or expanded?
Mike Glenn: We haven’t felt much of that and we haven’t got a lot of comment on it.
James McCanless – FTN Equity Capital Markets: On the capital allocation, what right now hold you back from repurchasing more shares? Is there a specific opportunity that you’re looking at or just wanting to get a better sense of how ’09 is going to end up? What’s the thinking there?
Mike Glenn: The window closing is part of it. When we get to within a couple of weeks of our quarter end, the window closes and we can’t be in the market buying our stock. So that’s a big part of it. And when it hits our price target, then we’ll take some shares out. It’s $1.2 million I believe that’s still authorized.
Operator: Your next question comes from Steven Chercover – D. A. Davidson.
Steven Chercover – D. A. Davidson: I was wondering first of all are there any new products in your DIY pipeline that excite you?
Mike Glenn: We talked a little bit about this radiant barrier that we’re really excited about. We think it’s a great DIY product. It’s outside of what we normally do. We’ve got it in some test markets and we’ll see how it does, but we’re kind of excited about that. Earlier in the year we did a cut to size plywood kind of a new store set for one of our customers and we’re seeing some pretty good results with that. We think we’ll be able to expand that. And certainly we talked about opening up a plant that we had closed last year in Southern Michigan. We re-opened it as a final assembly plant. We’ve done a venture with a company in Canada that’s doing the parts for us and we’re now doing the assembly in the old White Pigeon plant. The plant will open up as we think about a $40 million plant for us of which somewhere in the neighborhood of $20 million of it is new business for us. It’s a very excited product. It’s going to change the way the consumer looks at vinyl. That I’ll tell you. It’s a much better product, much cleaner product, a much stronger product. It’s a DIY product that gives you the feel of a pro fence and we think that it’s going to really change the marketplace.
Steven Chercover – D. A. Davidson: Given your comments with respect to growth particular in sites built over the next few years, are there any other markets that you might go to for higher growth? I know you had a small foray into the Caribbean. Would you go into Latin America or elsewhere?
Mike Glenn: No. In terms of site built, are you talking about going into site built or are you talking about industrial and do-it-yourself?
Steven Chercover – D. A. Davidson: Industrial, do-it-yourself. I’m just saying if you’re looking for growth, and we know that the housing recovery is going to be tepid for the next couple of years, then it doesn’t mean site built it means we’re just going for where the money is at.
Mike Glenn: We are shipping just so you know, we are shipping into the Caribbean and we’re going to focus on our industrial and concrete forming. We’re making really good progress. We’re coming out with different products compared to what we did two years ago. Continue to watch that. It’s a big move for us.
Steven Chercover – D. A. Davidson: I know your comments regarding lumber prices near term, if you had the belief that things were going to appreciate into 2010, I mean lumber prices are going to go up pretty strongly, given your balance sheet strength, would you be willing to lay a little bit of product on site in order to take advantage of that in Q1?
Mike Glenn: Absolutely. We did a little bit of it last year. We’ll do a little bit of this year. We believe that there will be opportunities for us to make some opportunistic buys and we’ll be in the market doing it.
Steven Chercover – D. A. Davidson: That was part of the recipe for the beautiful second quarter, is that not correct?
Mike Glenn: It was a little bit of, yes.
Operator: There are no further questions. I would now like to turn the call back to Mr. Mike Glenn for closing remarks.
Mike Glenn: Thanks for joining us on the call today. We know your time is really precious and we appreciate you taking time to spend with us this morning, and we’re going to go back out and work hard for you, and we appreciate your time. Thank you.